Presentation:
Operator:
Lars Rosenløv: Good morning, and welcome to our Second Quarter Presentation. These are truly exciting times, and I'm so grateful that so many of you have taken time out of a busy schedule to join us today. I have really looked forward to this presentation. Today, we mark the start of the next stage in our development of Quantafuel, launching Quantafuel Mark II. We have finally reached this stage, and now we have some technical issues. It's not - Oh my god. Everything is floating around here, but give us a while, and we will be back. We have now finally reached the stage where we can launch our vision to become a global leader within chemical recycling of plastic waste with large-scale operations in multiple locations around the world. For a very long time, we have worked towards proof of concept in Skive. And as you all know, it was not an easy journey. There have been frustrating setbacks and delays, but this is not unusual when you embark on a journey that no one has ever done before, and you try to lead the way. In first quarter, we reached proof of concept in Skive by running continuously for 7 days. Some have questioned, if 7 days is enough. But earlier this quarter, we ran continuously for 30 days. But maybe more important than any discussion over numbers of days. For 2 years, we have been working together with BASF in Skive to improve operations and overcome our challenges. Now BASF has joined us in the Dubai project with an ambition to build an 80,000 tonnes recycling facilities with DUBAL Holding. No one knows our technology better than BASF. So we are very proud of their commitment and confirmation. A few days ago, we also announced that we have signed an agreement with our long-standing partner, Saipem. One of the world's 5 largest EPC contractors to license our technology with the intention to look for opportunities in multiple locations. So why did Saipem choose to embark on this journey with us. Because they see a huge demand in the market, and because they after a thorough project assessment can see that Quantafuel can deliver on this demand. Saipem comes with excellent process design and engineering capability, as well as the ability to construct our facility around the world. These two achievements with BASF and Saipem are important pieces in our puzzle to develop an international and industrial Quantafuel. We are still working to improve operations and stability in Skive. This work will continue for a while, and I will not be surprised if we meet new challenges. In fact, I expect it to happen. The fact is that the way Skive is designed, Skive will probably never be perfect. But Skive doesn't have to be perfect. This company was never only about Skive. And I for sure, did not join Quantafuel to operate a small plant in Denmark, nor do I think that there was a motivation for any of our shareholders. Skive was always our stepping stone to embark on a large-scale rollout of capacity. And that is exactly what Skive has given us now. All our challenges in Skive, all our setbacks, these are also our learnings. They are, in fact, our intellectual property and the foundation for our second generation plant that we have named Mark II. With Mark II, we are finally ready to embark on our large-scale rollout. Let's the rollout begin. Kris, please take us through the details.
Kristian Flaten: Thank you, Lars. And good morning to everyone taking the time to let us explain Quantafuel. The fact that I'm here shows you that today's focus is on the future. Because in quarter two, we have finally managed to lay the strong foundation for the future based on the results and learnings in Skive, as Lars just said. And the name of that foundation is our second-generation, our Mark II process. This is a pyrolysis process that incorporates what is good in Skive, but resolves the design challenges. The key changes in the process are regarding the three topics of simplification, redundancy and operability. But for me, what illustrates the progress is that where Skive was built on the know-how of 17 people in the start-up, Mark II is the fruit of the collaboration of more than 30 specialists in Quantafuel who have spent the past 18 months learning from Skive. And they are working with the network of experts in BASF, as well as Saipem's experienced team of engineers. It is the competence of these people who make the difference. And that is why you in the slides are seeing some of the core team members in a video conference with Skive and BASF. I thank them, and we're very proud of their work. But now that we have Mark II, what do we do? We are ready to implement our projects along the build, own and operate pipeline that we have been presenting to you for quite some time. I have said previously that we have to have confidence in our technology by the end of Q1 2022 in order not to delay our time lines. And we are now driving them forward. The first time we are putting the process on a plot and then build it is in Dubai. You have probably seen our announcement regarding the start of the FEED study in Dubai for an 80,000 tonne plastic to liquids plant. I am personally very happy that in addition to DUBAL Holding, who are the heart and soul of the project, we now have BASF on board, to benefit from the experience in developing this project towards the final investment decision, which we target for early 2023. In the pictures on the slides, you see a few impressions of the day we had in Dubai. Together with DUBAL Holding, BASF colleagues from Dubai [indiscernible], our project lead [indiscernible] Quantafuel and myself on the plot there on the left-hand side of the slide. You also see the plot with a neighboring facility sorting plant of FARZ and the waste storage in the FARZ facility. For Quantafuel this project has added importance and it can be hardly overestimated. In that it is the first time that we put the Mark II concept onto an actual plot and then enter the detailed engineering phase. The outcome of this work will then serve as a blueprint for the projects in our pipeline. And the project in our pipeline, we see following right on the heels of Dubai is Sunderland on the East Coast of the U.K. It's amazing when we look at the strong support we are experiencing in developing this site. The support we're getting by local, as well as the U.K. government. In fact, both on the regulatory side, as well as in the availability of attractive waste plastics feedstock, the U.K. is probably the most favorable area in Europe today, at least in our minds. We have started discussions both with regard to financing this plant, as well as started discussions regarding the EPC contractor. Given that we are working so closely with Saipem at the moment, they are, of course, the front runner, but the cooperation with Saipem is always based on competitive bidding processes. And then taking a step back, if you've seen this slide before, you might notice that Kristiansund has been removed. That is because it is now in operation. We have also separated the Esbjerg project into the sorting plant and the plastic to liquid plant, which is the second stage. In turn, we are now a bit more explicit about our plans in the United Kingdom. In the U.K., we are currently assessing three additional sites, building a U.K. plastic to liquids portfolio. As we experienced the mentioned strong governmental and tax support to our activities in a country where feedstock availability looks promising as stated previously. We have now decided to include one of these sites in the list because our work there will become public knowledge before the end of the year. One important point to be made here is the question how we plan to finance these investments. And I think that's on the mind of many of our investors. With the current and increasing pipeline of projects, Quantafuel will assess alternative financing options at project and group level for the Mark II rollout. In this evaluation, we will review all options from sweat equity via project debt and financing, adding debt on existing plants and up to raising capital at corporate level to find the best available alternatives under the prevailing market conditions. Focus is to find the most effective way to implement the plans quickly and successfully. And one important piece of the puzzle in this respect is the announcement with Saipem. Our long-term partners in Saipem have expressed interest in taking a license and marketing our Mark II technology. A truth step change in Quantafuel's future projects based on Saipem's confidence in our competence and technology. So far, we have been reluctant to license our technology, as we believe the reputation risk is very high if you do not do that extremely well. And I have personally had many discussions on that. But we are now at a point where we are convinced that in Saipem, we have a partner who has the size, the know-how and the experience to successfully turbocharge our development. They are our partner to implement our technology in a greater number of projects then we can handle ourselves and in regions where we do not have the presence and experience to move quickly. The agreed joint performance guarantees for our technology based on investor expectations will also be a significant differentiator in our path forward. The agreement is non-exclusive for both partners and always based on making a competitive offer. This way, we will accelerate our own development and our mutual business without hindering our independent development. So I'm very happy to be able to present this to you. And I'm looking forward to your questions. But first, Lars will give you a quick overview regarding the status of our existing plans and projects. Thank you, Lars.
Lars Rosenløv: Thank you, Kris. Launching Quantafuel Mark II is the primary focus this quarter, but I will give you a high-level status on plants and projects. We have taken important steps forward at Skive this quarter. Line 3 became operational from the end of June, and this is the first line running on self-generated gas. The tests have been very successful, and we are now implementing this ability on all 4 lines during the planned maintenance stop in September. The cost implications of this feature is significant. With the current pricey natural gas market, this is a prerequisite for the plant economics, saving us some NOK 800,000 to NOK 1 million per line per month under the current market conditions. Line 4 will be completed as planned during the shutdown, adding more volume in the fourth quarter which is also adding to covering our fixed costs. We have successfully tested more difficult waste plastic with high biomass content with good results. We will continue our feedstock qualification program, collecting valuable data and understanding through our R&D lab in Malmö. And recently, we implemented a 4 kilo an hour pilot facility in our lab, which enable us to gain even more precise data about the feedstock market. This is an important piece to secure feedstock volume with appropriate quality at the right price. In our notice to the market on July 5th, we expressed concern about increasing operational cost. We have already addressed key contracts affecting our margin and we will, of course, continue to improve all parts of our cost base. This is a normal mindset in a processing plant. The operation testing and learnings have been expensive in Skive, the first two quarters, and this is expected to continue in the third quarter as well. However, with a successful solution improving uptime in the fourth quarter, we remain confident in exiting this year with positive cash flow from Skive. In Kristiansund, the demand on - and price levels for mechanical recycled hard plastic continues to be favorable. Currently, the plant runs at low utilization due to limitations in available feedstock. However, we are pleased to see that we have a steady month-over-month increase, which will soon bring us the plant into positive operational cash flow there as well. In Esbjerg, our plan to become a market leader in Denmark continues as planned. During the second quarter, we successfully completed a financing process with Eurazeo, committing € 40 million to the Esbjerg sorting plant. This 50-50 JV is called Resource Denmark. The construction is progressing in accordance with our schedule and so do the sorting equipment contract. The plant is expected to be commissioning late 2023. And Denmark has no such sorting facility today, and this plant will be a key advantage for sourcing feedstock to the co-located PtL plant, which is our next stage in our Esbjerg site development. On financials. We came out of the quarter with NOK 468 million in cash. In January, we raised NOK 400 million in equity at group level. And in July, we signed this EUR 4 million project financing and created the JV, the Eurazeo. With a strong interest, we continue to see in our plants and products. We will, of course, assess the financing needs and options to find the best available solutions to our company and our shareholders. Generally, the high market prices are offset by increased costs in feedstock and entity, but we maintain long-term guiding for PtL plants. Key contracts for Skive, as mentioned, have been addressed. But the real impact is not expected before some time during fourth quarter. We maintain the target positive cash flow from our operational plans in Skive and Kristiansund by the end of the year. Let us summarize. Mark II is ready for rollout, check [ph] Our strategic partners are on board, check. The Skive plant might not be perfect, but the learnings and IP we now hold from Skive is instrumental to where we stand today and for the development of our Mark II, a simplified plan with improved redundancy and operability, check. The FEED study is ongoing and executed by Saipem and with BASF and DUBAL Holding as partners, check. The Saipem agreement also adds licensing of PtL plants to our business model, check, joint venture and financing secured for the Esbjerg sorting plant with Eurazeo, check. And finally, positive cash flow is expected from Skive and Kristiansund by the end of the year, check. And with this, I will now open up for questions and invite Kristian and Chris to join me here stage. Thank you all.
Q - Unidentified Analyst: Yes. So Kris, if you can start with the Saipem MoU. Is it possible to give some more color on the revenue potential from the MoU?
Kristian Flaten: It's an MoU because we said that it's important to get this out into the market. We've been working with them a long time on the technology on how to do this, how to structure this. So we have basically agreement will work together. We have decided not to talk about the financial details yet. What we have said is that the licensing agreement, the license fees that are expected to be paid to Quantafuel shall be at a market level. So if you want to guide on this or do a model, I would suggest that you look at what's the average in the market and then just take a fair market value. It's going to be neither more than that, no less than that. I hope that answers the question.
Unidentified Analyst: And in addition, can you put a few more words on the geographic area to the deal, that's global?
Kristian Flaten: Well, I'm saying it's global, but we are agreeing in a way that both parties have to say this makes sense. And I talked about it not being exclusive in any way. So if you have an area where Saipem are strong, like in Dubai. Basically, you can look at the Dubai corporation as an example. They have, I think, 850 people, something like that in the Middle East. So Quantafuel has maybe one right now. So they are there, they are strong, they are the natural partner there. But we agreed if they have a weakness anywhere in the world, then they will probably not want to go, and we will not go with them. So when we say global, it is along the lines of where our Quantafuel's – sorry, Saipem's focus areas, and that's where we will go together. In cases where they don't see themselves as strong, we will still work with other partners and find other ways in a joint consultation. And that's why we have the map with the global presence for Saipem in the slide. If you check that, you can see where there are no little red dots, that's probably where we would be going with somebody else unless they want to enter that market. Hope that answers the question.
Lars Rosenløv: Just adding to that, Kris, because Saipem, the Saipem deal on licensing is adding to our business model. We still want to build, own and operate, but this is adding another activity where Saipem can build plants where we are not you can say, interested in being as a company. So for me, this is the other add on, and it's an add-on that will increase speed and also income stream for the company.
Unidentified Analyst: Thank you.
Unidentified Company Representative: We also have a question regarding the CapEx for the Mark II, how much reductions do you expect in CapEx?
Kristian Flaten: We do expect reductions in CapEx. So it's - I think it's a balance between building redundancy into the model because you are duplicating certain key equipments that are giving us trouble in Skive. And where in the Mark II system, we are then just able to switch from one system to the other. So that will add some cost. On the other hand, we are simplifying, as we said, so that's reducing costs, and we are looking at a much higher economy of scale because we will build many of these plants. So the first time we will have a detailed number for what is going to cost to put this plant on to the Dubai plant is at the end of the year. And I think we will return with information guidance at that point in time. At this point in time, I think we are maintaining our guidance for the profitability for our PtL plants as we have. Is that fair…
Lars Rosenløv: We have stated in the model that it's US$50 million for a standard-size 100,000 tonnes facility. And I also think we earlier have guided on CapEx being in the neighborhood of US$100 million to US$150 million. And that is maintained but of course [ph] we are now digging into details to make sure we can confirm that number.
Unidentified Company Representative: And the previous guided plant economics for plants in size, 80, 120 tonnes is in line with the Mark II plants?
Lars Rosenløv: Correct.
Unidentified Company Representative: And then Lars, in terms of revenues, lower-than-expected revenues in Q2 despite two lines at Skive, Kristiansund also operational. What will happen in Q3 and Q4 that will drive the positive cash flow?
Lars Rosenløv: Yeah. As I said, we have – you can say the expectation for third quarter is along the same lines, the pool [ph] you can say results. What will happen in Skive, of course, that we will address important pieces in the cost base. And as I said, the one element is self-generated gas that we are now capable of running that on all 4 lines, and that will be implemented in a short term [ph] in September. We are also working on other contracts of offsetting our, you can say, disposal material, and that is ash and produced water. And then we are working all other parts of the cost base as well. But it is important that an operating plant should operate with high uptime to generate, you can say, volume and that volume is needed in order to cover also the fixed cost base. But we are addressing everything and we are also working on getting the uptime better. And those two in total will bring us there.
Unidentified Company Representative: And how long will the modification work in September last?
Lars Rosenløv: I think the schedule plan for the shutdown we have set up in September is two weeks.
Unidentified Company Representative: And also a question why haven't the 4 lines being constructed that they can work with self-generated gas right from the start?
Lars Rosenløv: I think it's fair to say that there have been some attempt to do that, but also after a safety review, we discovered some flaws in the original design. I've said before that Skive is not necessarily defined perfect, but these have been overcome for line 3, and we have now successfully tested. And of course, we will implement this now in all 4 lines. But also important to mention that it has been in our plan that this self-generated gas should first be tested with line 3.
Unidentified Company Representative: And are you still negotiating with BASF to get a better price for your pyrolysis oil?
Lars Rosenløv: You can say the offtake agreement is part of our contracts. We are in good dialogue with our partners on this. And this is, of course, part of the whole equation. But we cannot disclose any price information and contracts on this. But we have a good dialogue on this and we are pretty confident that we will get over the way.
Unidentified Company Representative: And last one, Skive, are you still targeting 6,000 to 8,000 tonnes of production at Skive for 2022…
Lars Rosenløv: As mentioned in the report, we have decided because of the situation now where we are progressing on the Mark II that taking learnings and testing out of Skive is far more important than running a certain amount of volume. So that will be, you can say, our second priority. And for that reason, we have decided just to take the guiding away for Skive for this year.
Unidentified Company Representative: Okay. So how should we think of OpEx for the rest of 2022 and 2023? And what are the driving forces in Q2?
Kristian Flaten: We have, of course, reported that Q1 and Q2 operating costs also detailing out the Skive costs. And what we have now alluded to in the common zone is that we are reaching and gradually a situation where we have positive operational cash flow from both the Skive plant and the Kristiansund plant, so that will kind of considerably improve the cash flow. On top of that, we have become a fairly stable SG&A cost of about NOK 10 million a month.
Unidentified Company Representative: In the presentation material, CapEx increased substantially versus the Q1 presentation. Can you walk us through the drivers behind this?
Kristian Flaten: Yeah. And the reason for that is that we have now included the Esbjerg sorting plant project in full and the reason also for that including it this time rather than the last time is that now we also have the full financing in place, and we have also set all contracts towards the suppliers.
Unidentified Company Representative: And also regarding the OpEx guiding, is the disposal cost of produced water and ash included in the OpEx guiding of $350 per tonne?
Kristian Flaten: Yes.
Unidentified Company Representative: And also, do you still plan a Capital Markets Day?
Kristian Flaten: Yes. Now this is short answer. But what we would like to see is a little further development on this launching Mark II, and then we will come back to the market later this year.
Unidentified Company Representative: Thank you. That's everyone - all questions.
Lars Rosenløv: Okay. Then I thank you all for joining us today. I think this is a very important milestone in our history. And now we look forward to roll out our Mark II. Thank you for joining.
Kristian Flaten: Thank you.